Operator: Good morning, and welcome to the Host Hotels & Resorts Second Quarter 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Jamie Marcus, Senior Vice President of Investor Relations.
Jaime Marcus: Thank you, and good morning, everyone. Before we begin, please note that many of the comments made today are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information, such as FFO, adjusted EBITDAre and comparable hotel level results. You can find this information together with reconciliations to the most directly comparable GAAP information in yesterday's earnings press release and our 8-K filed with the SEC and in the supplemental financial information on our website at hosthotels.com. With me on today's call are Jim Risoleo, President and Chief Executive Officer; and Sourav Ghosh, Executive Vice President and Chief Financial Officer. With that, I would like to turn the call over to Jim.
Jim Risoleo: Thank you, Jamie, and thanks to everyone for joining us this morning. In the second quarter, we delivered adjusted EBITDAre of $476 million and adjusted FFO per share of $0.57, which includes business interruption proceeds of $21 million for the Maui RevPAR and $9 million for Hurricane Ian. Adjusted EBITDAre grew 6.7% over the second quarter of last year and was up slightly, excluding business interruption proceeds. We delivered a year-over-year comparable hotel total RevPAR improvement of 50 basis points, underscoring the continued strength of out-of-room revenue while comparable hotel RevPAR was up 10 basis points. As a reminder, our second quarter operational results discussed today refer to our comparable hotel portfolio which excludes The Ritz-Carlton Naples and Alila Ventana Big Sur. Turning to quarterly results. Second quarter comparable hotel RevPAR faced headwinds from a slower-than-anticipated recovery in Maui and a continued shift in leisure demand to international destinations without a corresponding increase in international inbound demand. The year-over-year decline in Maui RevPAR had an actual drag of 250 basis points on our second quarter portfolio RevPAR. As discussed last quarter, this understates the true impact of the wildfires as we would have expected Maui to contribute 90 basis points to portfolio RevPAR growth in the second quarter given the renovation disruption at Fairmont Kea Lani in 2023 and the expected lift for 2024. As a result, the total estimated impact of the wildfires on second quarter RevPAR is 340 basis points. The lodging recovery in Maui has been slower than anticipated due to several factors. First, recovery and relief room demand has diminished without a commensurate level of leisure demand to offset the decline. Second, as a result of softer demand, airline capacity is still impacted. In July, total airline seats to the island were down 16% year-over-year. However, this has improved from down 19% in June and down 26% last September. And lastly, there remains a perception from would be visitors that Maui is not ready to welcome guests back to the island. Our properties are collaborating with local tourism authorities and government officials to create a clear, well-supported marketing campaign that will launch this fall after the anniversary of the tragic fires. These state and local efforts are in addition to sales and marketing efforts by our managers. We are hopeful that this will be a turning point in the recovery trajectory, and consumers will once again feel comfortable returning to Maui. Turning to business mix. Group room revenue was up approximately 8% in the second quarter, driven by rate growth alongside demand growth. Our properties booked 315,000 group room nights in the year for the year, bringing our definite group room nights on the books for 2024 to 4 million rooms with total group revenue pace up 6% compared to the same time last year. Business transient revenue grew 4%, driven fairly evenly by demand and rate growth. Domestic leisure demand moderated as consumers opted for international destinations in Europe, Asia and the Caribbean. Despite the volume decline, transient rates at our comparable resorts were up 51% compared to 2019, including our 3 Maui Resorts, underscoring the financial health of the affluent consumer. We believe the international travel imbalance remains a key driver of lower leisure demand at our properties. In fact, U.S. international outbound travel has grown from 110% of pre-pandemic levels in the second quarter of last year to 119% in the second quarter of this year. At the same time, U.S. international inbound travel remains below pre-pandemic levels at 88% as a strong dollar, weaker global economic growth and Visa delays continued to present headwinds to the inbound recovery. Encouragingly, guests at our properties continue to spend during their stay. Food and beverage revenue drove total RevPAR growth in the second quarter, led by Banquet and Catering as well as improvement in outlet revenue on a per occupied room basis. Other revenue was down slightly due to the expected moderation of attrition and cancellation fees, but spa and golf revenues continued growing outside of Maui. As we highlighted last quarter, nearly 40% of our total revenue in 2023 came from food and beverage and other revenue and our 2024 guidance assumes a similar proportion. We continue to believe that total RevPAR presents a more holistic picture of our underlying business as our portfolio has shifted towards more complex, higher-end properties which benefit from substantial out-of-room spend. Turning to capital allocation. Yesterday, we announced the acquisition of fee simple interest in the 234 room 1 Hotel Central Park for approximately $265 million in cash. The acquisition price represents an 11.1x EBITDA multiple or a cap rate of approximately 8.1% on 2024 estimated results. The property is expected to rank among our top 10 assets based on estimated full year 2024 results with an expected RevPAR of $545, TRevPAR of $735 and EBITDA per key of over $100,000, further improving the quality of our portfolio. The LEED certified luxury property opened in 2015. It has 25 suites and a recently added 5 key penthouse that offers large terraces and unparalleled views of Central Park as well as the presidential suite. The lobby level features Jams, a 3-meal restaurant and bar affiliated with James Beard Award winner, Jonathan Waxman. The second floor offers 2,000 square feet of contiguous and flexible meeting space as well as a naturally lit fitness center and a business center. The 1 Hotel Central Park will further diversify our presence in New York City, which is one of the top RevPAR markets in the country. It will also provide host with the exposure to the luxury guest in Upper Manhattan, the top RevPAR submarket in the city. We also completed the previously announced acquisition of the 450-room Ritz Carlton O'ahu Turtle Bay yesterday. The resort is located on the North Shore of O'ahu, Hawaii and includes a 49-acre land parcel entitled for development. The $630 million resort acquisition price is net of key money, and represents a 16.3x EBITDA multiple or a cap rate of approximately 5.3% on 2024 estimated results. Based on preliminary 2025 underwriting and the conversion to Ritz-Carlton, the acquisition price represents an approximately 13.5x EBITDA multiple or a cap rate of approximately 6.7%. We expect this resort to stabilize between approximately 10x to 12x EBITDA in the 2027 to 2029 time frame. Due to the timing of the acquisitions, the 1 Hotel Central Park and The Ritz-Carlton, O'ahu, Turtle Bay are not yet included in our comparable hotel guidance metrics. They will be included starting in the third quarter. These 2 acquisitions are expected to generate $22 million of adjusted EBITDA for our ownership period, which is included in our adjusted EBITDAre and FFO guidance for 2024. Looking back on our transaction activity in 2024, we have acquired $1.5 billion of iconic and irreplaceable real estate at a blended 13.6x EBITDA multiple based on estimated 2024 results, which represents over $100 million of estimated full year EBITDA that we expect to grow as the assets stabilize. In May of 2023, we laid out a path to $2 billion of EBITDA at our Investor Day. With these acquisitions, we are halfway toward our target of $3 billion of acquisitions at a lower blended EBITDA multiple than we assumed at that time. Since 2018, we have acquired $4.9 billion of assets at a 13.6x EBITDA multiple and disposed of $5 billion of assets at a 17x EBITDA multiple, including $976 million of estimated foregone capital expenditures. This accretive capital recycling allows us to grow our 2023 adjusted EBITDAre by 6% above 2019 levels. Adjusted EBITDAre per key by 18% and NAREIT FFO per share by 13% and is what we believe will allow our portfolio to outperform over the long term. After adjusting for post-quarter transactions, we have $1.4 billion of total available liquidity and net leverage of 2.7x. During the quarter, we also repurchased 2.8 million shares of stock at an average price of $17.81 per share through our common share repurchase program, bringing our total repurchases for the quarter to $50 million. Since 2022, we have repurchased $258 million of stock at an average repurchase price of $16.26 per share. Turning to portfolio reinvestment. Our 2024 capital expenditure guidance range is $500 million to $600 million, which reflects approximately $220 million to $260 million of investment for redevelopment, repositioning and ROI projects. Included in the ROI projects is the Hyatt transformational capital program, which is on track and slightly under budget thus far. We received $2 million of operating guarantees in the second quarter to offset business disruptions related to the Hyatt transformational capital program, and we expect to benefit from an additional $5 million this year, bringing the total operating guarantees to $9 million in 2024. In addition to the capital expenditure range, this year, we expect to spend $50 million to $60 million on the 40-unit residential condo development at our Four Seasons Resort Orlando at Walt Disney World Resort. The development is well underway and marketing efforts began in July. We anticipate the formal sales launch to begin in the fourth quarter. More broadly, we have completed 24 transformational renovations since 2018, which we believe provide meaningful tailwinds for our portfolio. Of the 14 hotels that have stabilized post renovation operations to date, the average RevPAR index share gain is 7 points, which is well in excess of our targeted gain of 3 to 5 points. Earlier this week, we released our 2024 corporate responsibility report, which details our CR program and strategy, our ESG initiatives and our industry-leading accomplishments. Additionally, the report provides an update on our performance and progress towards our 2030 environmental and social targets, which are mapped to our aspirational vision of becoming net positive by 2050. The CR report can be found on the Corporate Responsibility section of our website at hosthotels.com. Wrapping up, we believe Host is well positioned to continue to outperform. We remain optimistic about the state of travel today despite the softer than expected recovery in Maui and moderating domestic leisure transient demand. While we would certainly prefer to see more leisure demand in the U.S. versus abroad, it is encouraging to see consumers continue to prioritize spending on travel and experiences. The pendulum will eventually swing back to domestic destinations. And when it does, we believe Host is well positioned to benefit due to our geographically diversified, iconic and irreplaceable portfolio as well as the recent reinvestments we have made and continue to make in our properties. Host is uniquely positioned. And as we have demonstrated, we are able to access many capital allocation levers to create shareholder value. With that, I will now turn the call over to Sourav to discuss additional operational detail and our revised 2024 outlook.
Sourav Ghosh: Thank you, Jim, and good morning, everyone. Building on Jim's comments, I will go into detail on our second quarter operations, updated 2024 guidance and our balance sheet. Starting with business mix. Overall transient revenue was down 5% compared to the second quarter of 2023, driven by softer-than-anticipated demand in Maui. We estimate that Maui had a 410 basis point impact to transient revenue in the quarter. Transient rates at our resorts remained resilient at 51% above the second quarter of 2019. Additionally, food and beverage outlet revenue per occupied room grew at both resorts and non-resorts. Outside of Maui, golf and spa revenues continued to grow due in part to our recent ROI investments in our spa and fitness facilities. We believe the rate strength at our resorts and continued growth of out-of-room spending indicates consumers' ongoing willingness to spend on travel and experiences. Looking at recent holidays, excluding Maui, Memorial Day weekend and July 4 outperformed our expectations due to strong last-minute transient bookings in the weeks leading up to the holiday weekends. Looking forward and excluding Maui, Labor Day transient revenue pace is up 9% compared to the third quarter of last year driven by occupancy. Business transient revenue was 4% above the second quarter of 2023, driven fairly evenly by increases in room nights and rate as business transient demand continued its slow and steady recovery. Demand growth was market-specific with certain hotels in Chicago and San Francisco, showing double-digit year-over-year growth in business transient demand. Encouragingly, Boston and New York both exceeded 2019 levels of business transient demand in the second quarter. Turning to Group. Revenue grew 8% in the second quarter, driven by 5% rate growth. Approximately half of the growth came from San Diego, Phoenix and Nashville with the balance coming from our other top markets. For full year 2024, we have approximately 4 million definite group room nights on the books, representing a 9% increase since the first quarter, keeping us ahead of same time last year. Group rate on the book is up 4% and total group revenue pace is up 6% over the same time last year, driven by a particularly strong third quarter and the continued focus on growing banquet and catering contribution. We remain encouraged by the ongoing strength of group business as evidenced by strong revenue pace, banquet and catering growth and double-digit citywide room night pace in key markets such as Nashville, New Orleans, San Antonio, San Diego, Seattle and Washington, D.C. Shifting gears to margins. Second quarter comparable hotel EBITDA margin of 32.6% was 10 basis points below last year, driven by increases in wages, benefits and fixed expenses as well as impacts from Maui. We received $21 million of business interruption proceeds from the Maui wildfires, which provided a 135 basis point benefit to the comparable portfolio. Excluding the business interruption proceeds, operations in Maui had a 60 basis point impact to EBITDA margin. Despite these headwinds, our controllable expenses, which include laundry, linens and guest supplies were flat versus the second quarter of 2023 due to net operational improvements across our portfolio. Turning to our revised outlook for 2024. The midpoint of our guidance contemplates a slower-than-anticipated recovery from the wildfires in Maui and moderating domestic leisure transient demand, primarily driven by the international demand imbalance. At the low end, we have assumed slower group pickup and softer leisure transient demand. And at the high end, we have assumed a faster recovery at our Maui resorts and increased transient pickup. For full year 2024, we anticipate comparable hotel RevPAR growth of between negative 1% and positive 1% over 2023. We expect comparable hotel EBITDA margins to be down 110 basis points year-over-year at the low end of our guidance to down 60 basis points at the high end. At the midpoint of our guidance range, we anticipate comparable hotel total RevPAR growth of 1.2% and flat comparable hotel RevPAR compared to 2023. Looking at the drivers of the RevPAR midpoint decline, approximately 90% of the reduction is related to transient business as group remains strong in the second half of the year, particularly in the third quarter. We estimate the Maui wildfires will impact full year comparable hotel total RevPAR by 120 basis points and RevPAR by 180 basis points. Excluding business interruption proceeds, we expect adjusted EBITDAre to be impacted by $75 million to $80 million relative to our prefire estimate. In terms of RevPAR growth cadence, we expect comparable hotel RevPAR growth to be slightly positive in the second half of the year, driven by low single-digit growth in the fourth quarter. We expect a comparable hotel EBITDA margin midpoint of 29.3%, which is 90 basis points below 2023. We estimate a 30 basis point impact to full year EBITDA margin from Maui relative to our prefire estimate, a 40 basis point impact from insurance and property taxes and a 110 basis point impact from wage and benefit rate increases, which is partially offset by a 90 basis point benefit from operational improvements. Our revised 2024 full year adjusted EBITDAre midpoint is $1.645 billion, a $25 million or a 1.5% decrease over the prior midpoint. This includes an estimated $62 million contribution from operations at the Ritz-Carlton Naples and $11 million from operations at Alila Ventana Big Sur, an increase of $5 million compared to our prior guidance. As a reminder, The Ritz-Carlton Naples and Alila Ventana Big Sur are excluded from our comparable hotel set for the full year 2024 forecast. Our adjusted EBITDA and FFO guidance also includes an estimated $22 million contribution from the 1 Hotel Central Park and The Ritz-Carlton O'ahu Turtle Bay for our ownership period. Turning to our balance sheet and liquidity position. Our weighted average maturity is 4.7 years at a weighted average interest rate of 4.9% after adjusting for investing and financing activities completed subsequent to quarter end. As Jim noted, we currently have $1.4 billion in total available liquidity, which includes $242 million of FF&E reserves. Our quarter end leverage ratio adjusted for post-quarter transactions was 2.7x, and we have $970 million of availability on our credit facility. In July, we paid a quarterly cash dividend of $0.20 per share, demonstrating our commitment to returning capital to stockholders. As always, future dividends are subject to approval by the company's Board of Directors. We will continue to be strategic and opportunistic in managing our balance sheet and liquidity position as we move through the remainder of 2024. To conclude, we remain optimistic about the future of travel as the headwinds facing our portfolio are not indicative of a weakening consumer. As Maui recovers and the international leisure demand imbalance finds equilibrium, our renovated portfolio of geographically diverse properties is well positioned to benefit. With that, we would be happy to take your questions. To ensure we have time to address as many questions as possible, please limit yourself to 1 question.
Operator: [Operator Instructions]. One moment, please, while we poll for questions. And the first question today is coming from David Katz from Jefferies.
David Katz: I appreciate it. Jim, congrats on all of the acquisitions to everybody. Can you just talk about the possibility, the prospects, probability, boundaries around any further acquisitions that we might see this year or even early next from what you can tell today?
Jim Risoleo: Yes, David, I think that -- let me start by saying that we are very, very happy with the 3 acquisitions that we made this year. Real estate is not a short-term business. And we look to acquire assets that are going to grow EBITDA over time. These are one-of-a-kind properties in each instance. And we're fortunate enough to have the balance sheet and the relationships to be able to transact when an asset like Turtle Bay comes to market. We referenced in a recent press release that we just sent out, I think it was yesterday, that Ritz Turtle Bay, O'ahu is now part of The Ritz-Carlton system. It went live yesterday when we closed on the hotel. It's a unique property for a lot of reasons. But one of the things that I think is worthy of pointing out is that there was a $0.5 million per key invested in that asset. And Ritz-Carlton took the hotel without a tip. So we believe there's going to be a lot of upside over and above the metrics that we quoted, which were based on 2025 pro forma, a 13.5x EBITDA multiple and a 6.7% cap rate. We think that, that property has a lot of run room. We haven't taken into consideration in our underwriting, any incremental EBITDA generated from the residences that are currently being developed by another developer on the site as well as our 49-acre parcel of land. So it's a once-in-a-lifetime opportunity to acquire that hotel and we're in a unique position to do it. The same with Central Park that we just announced yesterday as well. A little bit of background on Central Park and a little bit of background on why luxury. Why is Host focused on luxury assets? This is something that we started exploring back in 2017, quite frankly. And if you look at luxury, RevPAR CAGR. These are assets that had a RevPAR of greater than $500. They have meaningfully outperformed upper upscale in other segments in the lodging space, over extended periods of time. From the period of time 2019 to '23, luxury CAGR was 4.7% versus upper upscale 1.3%. So we expect that we're going to continue to be able to drive this type of performance from the acquisitions we made, which will lead to elevated EBITDA growth and elevated free cash flow, which will allow us to continue to take those proceeds and invest in our portfolio or pivot to other capital allocation decisions and opportunities that might be out there. Now to get back to your question, I don't think that we are contemplating doing additional acquisitions this year or even early next year. You never know of that 1 opportunity that might come over the door, where there is a great asset with a great opportunity to buy it because of some distressed situation. But, we certainly are more focused today on integrating these 3 great properties that we acquired into the Host system, into our asset management and enterprise analytics platform. And we will continue to invest in our portfolio generally because we are very happy with the results that we've achieved from the 24 total transformational innovations that we've completed to date, where the 14 properties that have stabilized operations have picked up 7 points in yield index well above our underwriting and we think that positions us great going forward. And we'll also consider buying back additional stock. We still have $742 million on our stock repurchase program. In the second quarter, we bought $50 million worth of stock at $17.81 per share. Looking back to 2020, throughout the pandemic to today, we purchased $400 million at $16.35 per share. So we're certainly not shy about getting into the market and acquiring our own stock, particularly given where we're seeing the share price trading today.
David Katz: Understood. Thanks for the answer. Appreciate it.
Operator: The next question is coming from Stephen Grambling from Morgan Stanley. Okay. We will move on to Chris Darling from Green Street.
Chris Darling: Jim, maybe following up on that last question actually. I mean, you mentioned acquisitions are unlikely in the near term and pivoting instead to deploying capital through whether ROI projects or as share repurchases. With that in mind, I wonder what role incremental dispositions might play in pursuit of that strategy and whether you're thinking about testing the market in any regard.
Jim Risoleo: Chris, thanks for the question. Yes, we have explored disposition pricing recently and made a decision that really, given that we are under no pressure whatsoever to dispose off assets, and we will only do so if we believe that the pricing is fair relative to our hold value, the market dynamic just isn’t there today. The cost of debt is still prohibitive from a valuation perspective. We’ve been in a unique position to be able to transact, given our balance sheet and there really aren’t any other players out there that are in that position. So we’ll keep an eye on the market as we always do. And if we think there are opportunities to continue to enhance the overall growth profile of the portfolio, by disposing of assets, that’s certainly something we will consider going forward.
Operator: The next question is from Chris Woronka from Deutsche Bank.
Chris Woronka: So Jim, you now have 3 of the 1 Hotels in the portfolio. I know there's a few more out there. So the question is kind of what's your longer-term vision for those hotels? Obviously, you've done very well in Miami in a pretty short period of time. I know they're managed, I know the entity that manages them. But is there a longer-term play there in terms of some other co-branding or something else you might do to kind of enhance the longer-term value of those?
Jim Risoleo: Well, we are really happy being an owner of 1 Hotels, Barry Sternlicht, Starwood Capital, we’ve always got Barry as an innovator. I mean, he started with the W brand. And I think 1 is really an extension of W. Our performance in Miami has been really quite incredible. We bought that at, I think, roughly a 13x multiple in 2018. And in 2023, we were around 10x, 10x, 10.5x, something like that. In 2022, we actually got down to sub 8x. So we like the performance of the brand. We like – we like where he’s heading with it, where SH Hotels is heading around the globe and elsewhere for distribution. But it’s not anything that we’ve had conversations about co-branding or anything of that nature. So we just said – we think they do a great job, and we have a great relationship with them, and we hope that we can continue to expand that relationship going forward.
Operator: The next question is coming from Dori Kesten from Wells Fargo.
Dori Kesten: As you are putting together guidance this quarter, what were the aspects of the guide that you were more uniformly agreeing upon internally versus which required a more vigorous discussion. We're just trying to get a sense of how derisked the second half of the year is at this point.
Sourav Ghosh: Yes, I think what gave us sort of the confidence in our guide, as we went about it is really the group booking pace remains strong for the second half. We actually picked up 241,000 rooms in Q2 for the second half, and about 143,000 or so was for Q3. So that's 68%. So Q3 pace is actually high single digits. So we're very confident about group in the third quarter. We did derisk the fourth quarter from a group perspective, just around election weeks. So typically, in any given election year, the week of elections is always a softer group pace, and you can see that. But this year, we are seeing softness following the election week as well in terms of pace. So we adjusted for that. The bigger 2 pieces that we spoke in our prepared remarks is really the softer recovery that we are seeing in Maui. So that's in our second half as well as what we did was we saw these short term -- a lot of lack of short-term leisure pickup in Q2, and that effectively we have extrapolated into the second half as well. So that's -- those are the items that we took into consideration when looking at guidance.
Dori Kesten: Just a quick clarification, Sourav. So Q3 group pace is up high single digits. So what transient, like on the books now for Q3, what is transient and down?
Sourav Ghosh: Yes. Transient, we look at a room night perspective and transient pace it really is in terms of pickup happens around a 30-day window. So we have derisked effectively the decline that we saw in Q2 proportionately in Q3.
Dori Kesten: Okay.
Operator: The next question will be from Michael Bellisario from Baird.
Michael Bellisario: To focus on Maui a little bit. Can you maybe help us understand the guests that are coming to your properties? Are they different customers than a year ago, pre-pandemic? Are they coming through different channels? Also what are the brands doing to help stimulate demand? And then just lastly, can you give us some examples of the planned marketing initiatives that you mentioned?
Jim Risoleo: Yes. Mike, there are new channels that we pursued. Different wholesalers, Costco -- Costco Travel as an example to bring customers back to Maui. I mean what happened is the wildfires were just an incredible tragic event. And as we saw the residents finding permanent or semi-permanent housing, we are very encouraged that, that's happening. But what that meant for our hotel on the west side was that we went from well over 200 rooms that were being rented by the Red Cross and FEMA in the first quarter to 13 rooms that were being rented in Q2. And we didn't see a corresponding pickup in visitation. And I think there are several reasons why that occurred and why that is the current situation on the island today. We’re coming up on the first anniversary of the wildfires, which is a very important date for a lot of reasons in Hawaiian culture and otherwise. But going forward, mid to the latter part of September, the Governor of Hawaii and the Mayor Maui are planning on a marketing campaign in the Los Angeles area, basically rolling out the fact that Maui is now open for business. 80% of the Maui economy is dependent on tourism. So we are supportive and appreciative of what has to be done first before you can bring customers back to the island. And we think good progress is being made along those lines. Additionally, we are working with other hotel owners on Maui and Hotel Association to put in place a coordinated marketing campaign to sell the island, and we’re taking steps individually at our 3 assets, the Hyatt Regency, the Andaz as well as the Fairmont Kea Lani to start marketing those assets, again, mid-September on going forward. One of the other challenges that we’re going to have to overcome is airlift into Maui. I believe that in the quarter, we were down about 16% over the same time frame in 2019, and that’s down another 6% over where we were last year. So, it’s a bit of a chicken and an egg situation. We certainly want the airlines, and we’re going to be encouraging the airlines to put more capacity into their Maui routes, but we’ve got to bring the customers back as well. The really good news for our assets. Generally, we had completed a transformational renovation of the Hyatt Regency during COVID, we accelerated that renovation and the property is fresh and ready to go. And more recently, we completed a transformational renovation at the Fairmont Kea Lani, which is on Maui’s Wailea as well as did a substantial renovation at the Andaz. So, Andaz Wailea as well. So our properties are ready, open for business, and we’re working with the local authorities and the other hotel owners to sell Maui beginning in mid to late September.
Operator: The next question will be from Shaun Kelley from Bank of America.
Shaun Kelley: Jim, I want to go back to an earlier question or maybe for Sourav, actually, I want to go back to an earlier question on just the underwriting for leisure transient in the back half. Sourav, if I caught it correctly, I think you said basically, the trends you saw in leisure transient for Q2, you're extrapolating that trend as sort of your baseline for 3Q, did I catch that correctly? And then, secondarily, just can you remind us of the weights of Q3 and Q4 as it relates to some of the seasonality here, particularly how dependent is Host in the portfolio now on decent leisure in Q4? So did you derisk that, did you underwrite that the same? And should there be anything we need to worry about as we get pretty late in the year, particularly around the holidays?
Sourav Ghosh: Yes, you did hear that correctly. We effectively took the trends that we saw for leisure transient in the second quarter and applied that for the rest of the year. Obviously, the mix of leisure in Q3 is a little bit different than Q4. But when you actually look at sort of the 300 basis point decline in the midpoint of guidance, what I would say is about 15% is as a result of Q2, the remainder is second half, and that’s effectively evenly split between Q3 and Q4.
Operator: The next question is coming from Duane Pfennigwerth from Evercore ISI.
Duane Pfennigwerth: Just on cost programs. I assume your expense budgets at the asset level were based in part on your revenue outlook? And I just have a basic question. Are there cost takeouts that can happen? And do those cost reductions typically have a lag as revenue softens?
Sourav Ghosh: It’s always obviously an asset by asset in terms of how expenses are managed. And obviously, you have certain fixed costs. The variable costs really move with volume. For the most part, there isn’t a meaningful lag with that variable cost, it happens and it will show up and sort of the lag is maybe a week or 2, but by month end, the true-up occurs. So by the time you’re seeing the numbers whatever costs are being taken out or being managed relative to volume shows up pretty real time.
Operator: The next question is coming from Smedes Rhodes from Citi.
Smedes Rose: I just wanted to go back to your guidance and just taking out the acquired EBITDA for a moment. It looks like it's about close to $50 million downward revision. And then you said from Maui, you're expecting a 180 basis point negative impact to your portfolio for the year. And I think that's a little steeper than the 130 basis points that you called out in the first quarter. So just given those 2 things and just something -- is the bulk of that decline of $47 million or so all related to Maui on a relatively small decline in your RevPAR? Or maybe you can just kind of walk through the pieces. Because it seems like a large downward revision to given your expectations just in the quarter ago.
Sourav Ghosh: Sure, Smedes. I think what will be easy is if I just walk through where our midpoint of previous guidance was at $1.670 billion and bridge that to our current guidance of $1.645 billion. So you take the $1.670 billion, you take out $64 million of comp EBITDA, excluding Nashville. Of that $64 million, about 50% of that $64 million is attributable to Maui and San Francisco. The remainder is primarily made up of 4 markets, I would say, it's D.C., Orlando, Phoenix and L.A. And then you add $5 million for improvement of our forecast for Nashville. You would add another $5 million for Alila Ventana, which opened up sooner than we had expected. And then you add $22 million for the 1 Hotel Central Park in Turtle Bay and then another $7 million for higher interest income, because we obviously did the $600 million bond deal, had more cash reserves and higher interest rates that allowed for that. Once you total that up, you get to the $1.645 billion. But what I would say is important to remember that certainly for 2024, the $1.645 billion guidance, but it's important to remember what the run rate really is once you really adjust for all the puts and takes. So if you take, again, the $1.645 billion midpoint guidance that we have and you remove all the business interruption that we got this year, which is equal to $40 million, you would add an additional $49 million for Turtle Bay and 1 Hotel Central Park because obviously, we don't have the full year baked in, in 2024, you would add another $13 million for Nashville. And as we said in our prepared remarks, another $75 million to $80 million for Maui and another $5 million for Ventana. So the true run rate on a stabilized basis, if you will, is $1.750 billion. So hopefully, that answers your question and then some.
Smedes Rose: Yes, that helps. And then just, Jim, you said at the beginning in your opening remarks that group revenues were up 8%, business transient was up 4% and that leisure moderated. Can you share what the percentage increase or decrease was in leisure?
Sourav Ghosh: Sorry, are you asking for the leisure demand increase in Q2?
Smedes Rose: Well, whatever you -- at the beginning of the call, you said group revenue was up 8% in the quarter, business transient was up 4%, and I'm wondering what leisure was? It was characterized as moderating, but can you just share the percentage? I think you were speaking of revenues, right?
Sourav Ghosh: Yes. Our overall – and remember, we used our resorts as a proxy. Our rate still held firm, overall resort revenue or our lease revenue was slightly down as volumes, obviously, as what Jim was referring to, have moderated. But our rates held up, which are still 51% above 2019. I believe in Q1, that number was 52%.
Operator: The next question will come from Robin Farley from UBS.
Robin Farley: I wanted to go back to your comments about how total RevPAR grew more than room RevPAR. And Marriott had called out some ancillary spend being reduced and MGM called out kind of lower restaurant covers and pressure on entertainment ticket prices. And so I'm just wondering, is the increase that you're seeing in ancillary revs, is that -- do you think it's because of your group mix is increasing, and so it's more banquet revenues? But the transient piece is softening on the ancillary side? Or just wondering why your trend looks a little bit different than what some others have talked about.
Jim Risoleo: Sure, Robin. I think our trend looks a little bit different because of the nature of our assets and the nature of our customer. Our customer is -- falls into the affluent category given the nature of our properties, and they're still spending money. Unfortunately, we saw a big pickup in outbound travel in the quarter. But in terms of the spend at our resorts, both resorts and non-resorts, we saw food and beverage outlet revenue per occupied room up about 2% over last year and same quarter last year and up about 1% over the first quarter as well. And encouragingly, as Sourav mentioned in his prepared remarks, we saw spa revenues and golf revenues up ex Maui, spas up about 11% in the quarter over same quarter last year and golfs up 5%. So we are seeing continued spending with a leisure transient rate that's 50% higher than where it was in the second quarter of 2019. And additionally, we're not seeing any holding back on the group side as well. Banquet revenues are up over where they were at the same time last year. So I think it's a different mix. It's a different property type and a different customer.
Robin Farley: Great. That's helpful. Maybe just one follow-up clarification is can you remind us where your group mix, where you think that will end up this year and where it was in 2019?
Jim Risoleo: It’s going to be pretty similar to where it was in 2019, about 65 – about 35% group, roughly 61% transient and the balance contract.
Operator: The next question will be from Stephen Grambling from Morgan Stanley.
Stephen Grambling: As a follow-up on the -- I think it was Smedes questions around resort RevPAR. I think you said for the quarter, ADRs were flat and occupancy down. Did that change over the course of the quarter? Because it seems like part of the evolution we're hearing from folks is really around June and July, and I realize it's a little bit more myopic, but I'm just trying to think about the dynamic of what's happening to price within leisure or resorts, however you want to define that as we look into the back half?
Sourav Ghosh: Not necessarily because both for Memorial Day and July 4, we came in actually better than expectations. So it really sort of -- sort of scattered across the quarter on certain weekends, but there wasn't any discerning trend necessarily while we went through the quarter as it relates to sort of pricing or for that matter of fact, even demand, because the holidays actually did better than what we thought they would do.
Stephen Grambling: Okay. That's helpful. And one other follow-up on that, I guess, would be that in that comment that you said that you're assuming the trend line kind of holds in the back half, just to be clear, that would be that dynamic of effectively flat ADR, slightly down occupancy in the back half for your resorts overall?
Sourav Ghosh: That’s correct. And effectively, the trend of – particularly from the leisure standpoint, the international outbound that Jim mentioned, we had obviously assumed earlier that we would – it would be actually lower in Q2 of this year versus Q2 of last year. The opposite helps you and we’re assuming for the rest of the year that, that will continue.
Operator: The next question will be from Bill Crow from Raymond James.
Bill Crow: Jim, in a weakening economic backdrop. And when we see rising job cuts and rising unemployment, what's the first -- what's the first indicator in the lodging space. Is it weaker leisure demand? Is it weaker? Or is it group attrition, lower F&B, what should we be looking out for if the economy starts to slow at a fastening pace?
Jim Risoleo: I would say, weekend leisure at the lower end of the chain scale, Bill. I do think there is a bifurcation today between the high-end consumer who is still strong, moderating somewhat candidly, and the low-end consumer. And I think you're seeing that in the earnings reports that are being printed this quarter, there's a differentiation. From our perspective, we talked a bit about where our leisure transient rate is, and where our out of room spend is, how our out of room spend is trending, and we're very comfortable with how our consumer is behaving. We think that what's happened in this quarter is that the high-end leisure traveler went abroad, they went to Europe and the Caribbean and Japan, and that it's a moment in time, much like when the leisure consumer led the recovery coming out of COVID. It was revenge travel and I think we saw a bit of revenge travel in Europe last year when that was the first year that Europe was opened up without any restrictions, and we're seeing that this year. And it's frankly, it surprised us a bit because I know we've talked about this before. I mean if we look at -- and we spent some time digging into this, if you look at all U.S. outbound at roughly 120% of 2019 levels, that equates to 6 million additional outbound trips. And that is -- that's a big number, but people they're spending money, and we're not seeing the corresponding increase of international inbound. So TSA checkpoints give us confidence that travel is still occurring. We hit a record in July of, I think, 3 million throughputs in 1 week in particular. So we believe that this is a moment in time and the pendulum will swing back, and we will be well positioned to perform going forward.
Bill Crow: Great. If I could ask Sourav, a follow-up or a second question. Sourav, we've got a lot of flavor negotiations coming up towards the end of this year, and I'm not going to ask you about those. But how do you think about wage and benefit increases as you look into 2025 across the portfolio?
Sourav Ghosh: Yes. As we look into next year, it’s a little bit early to tell, obviously. I mean the managers are working through the budgets right now. And we obviously don’t have those submitted until much later this – later part of the year. However, just given that inflation has come under control, to some extent, we would expect it to be lower for next year. How much lower? We will probably have a better idea once we get further down the year, I would say, probably October, November in terms of what that’s looking like. But would think it’s more in the 3% to 4% range or even better than that, depending on what inflation trends look like?
Operator: That's all the time we have for questions. Today, I would now like to hand the call back to Jim Risoleo for closing remarks.
Jim Risoleo: Thank you again for joining us today. We always appreciate the opportunity to discuss our quarterly results with you, and we look forward to seeing many of you at conferences in the coming months. Enjoy the rest of your summer.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Have a wonderful day. Thank you for your participation.